Kerri Thurston: Good morning. We would like to welcome you to Garmin Limited's fourth quarter 2008 earnings call. Please note that a copy of the press release concerning this earnings call is available at Garmin's Investor Relations site on the Internet at www.garmin.com/stock. Additionally, this call is being broadcast live on the Internet. Please note that this webcast does include slides which can be viewed during this call. An archive of the webcast will be available until March 23, 2009. A telephone recording will be available two business days following this call, and a transcript of the call will be available on the website within 48 hours under the Events Calendar tab. This earnings call includes projections and other forward-looking statements regarding Garmin Limited and its business. Any statements regarding our future financial position, revenues, earnings, market shares, product introduction, future demand for our products, and objectives are forward-looking. The forward-looking events and circumstances discussed in this earnings call may not occur and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K for the fiscal year ended December 29, 2007 filed with the Securities and Exchange Commission, and our quarterly report on Form 10-Q. Attending on the behalf of Garmin Limited this morning are Dr. Min Kao, Chairman and Chief Executive Officer; Cliff Pemble, President and Chief Operating Officer; Kevin Rauckman, Chief Financial Officer and Treasurer, and Andrew Etkind, General Counsel. The presenters for this morning's call are Cliff Pemble and Kevin Rauckman. At this time, I would like to turn the call over to Kevin.
Kevin Rauckman: Thanks, Kerri. Thank you for joining us this morning on a short notice. Before we get into the details of our Q4 earnings, I want to provide a brief explanation of why we issued our earnings this morning rather than on Wednesday. During our final review of the Q4 results, we found certain adjustments for sales programs and price protections that puts our earnings per share results below our earlier stated guidance. We elected to immediately announced our Q4 earnings and accelerated our conference call by two days in order to accomplish this. At this point, I would like to turn the call over to Clif to provide our business update this morning.
Clifton Pemble: Thank you, Kevin. Good morning. As you read from our press release this morning, Garmin announced fourth-quarter results with strong margins, increasing market share and significant reductions in our inventories. Financial highlights from 2008 include revenue growth of 10% to almost $3.5 billion with revenue growth in almost all segments of the business. This represents Garmin’s 18th consecutive year of revenue growth. A significant highlight for 2008 is our gross margin performance of 44.5% which is down just 150 basis points from 2007. Our 2008 operating margin was 24.7% which is a 380 basis points decline from 2007 that exceeded our earlier expectations. Bill of material cost reductions helped offset most of the PND price declines that occurred during the year. Exuding foreign currency, our earnings per share fell 3% to $3.69 per share, which includes the gain from the share of our tender of our Tele Atlas shares. Throughout 2008, we maintained our strong cash position, with free cash flow generation of $743 million, which was enhanced by the significant reduction in inventory during the quarter. This cash flow allowed us to fund our stock repurchase plan, pay a $0.75 per share dividend, and remain a debt free company. Some notable business highlights for the year include while we await the final fourth-quarter market reports, we believe that we have expanded our world wide leadership position in the PND market from 35% in Q3 of 2008. We believe our share approximated 50% in North America and greater than 20% in Europe. As a reminder, on a worldwide basis, our market share was about 30% in 2007. Consolidated shipments were almost 17 million units for the full year resulting in a year-over-year growth of 38% across all of our business segments. Unit growth was led by our automobile segment with full-year growth of 45%. Turning next to segment highlights, in the automotive and mobile segment, our revenues grew 8% for the year driven by continued unit growth and moderating price declines when compared to 2007. We experienced unit growth of 62% in North America for the full-year although it slowed significantly in the second half. European PND growth for the full year was 16%. This unit growth was offset by an ASP decline of 26% which is down from the 35% decline we experienced in 2007. For the full year, revenues from our outdoor fitness segment grew 26%, which outperformed our expectations thanks to our strong line up of new products and specific strength in the fitness market. We also saw growth in our aviation segment build again in the first half of 2008 which was much stronger. Revenues grew 10% in 2008 as shipments to new and existing OEM partners offset weaknesses in the portable and retrofit markets. And finally marine revenues grew 1% in 2008 as this segment continues to be affected by high fuel prices that were present earlier in the year and economic conditions which had slowed the entire marine industry. Given how hard the marine industry has been hit by the economic downturn, our ability to generate growth in this segment is attributed to the strength of our product portfolio and our market share gains throughout the year. As the economic crisis continues to play out, we realize that 2009 will be one of the most difficult years in our history. In the automotive segment, we estimate that units will be flat in 2009 on a global basis due to the reduced levels of consumer spending and increased levels of penetration, particularly in Europe. We are focused on managing our business appropriately in light of these market realities. Our strong margins and significant reduction of inventory in the fourth quarter validate our ability to use vertical integration to appropriately scale our business in real-time. We also anticipate that ASP declines will moderate in 2009 as additional competitors exit the market and retail channel inventories decline resulting in less margin pressure. Our outdoor fitness, aviation and marine segments will be under significant pressure in 2009 due to the unfavorable economic conditions facing consumers. While these segments are not likely to grow in 2009, we will continue to focus on market share gains and profitability, which will allow us to outperform competitors in these respective markets. In addition, we will continue to make prudent investments in research and development and introduce new product innovations that will position us for growth and new opportunities as the economic cycle runs its course. At the recent CES show, we introduced new products with industry-leading features. The first of the new offerings was nüMaps Lifetime, which offers consumers the ability to update maps and points of interest quarterly for the lifetime of the device for a single fee. This ensures that customers are traveling with the most current maps. In addition, we introduced ecoRoute which is a free software update available for many new models that assist drivers with fuel-efficient efficient navigation by offering a less routing option. EcoRoute also calculates the fuel cost associated with the trip and a carbon footprint. At the upper end of our product family, we introduced the nüvi 8X5 series which delivers two of our more popular high-end features, lane assisted navigation with graphical junction views and speech recognition. The 8X5 P series also includes MSN Direct version 3.0 which provides graphical weather, flight status, traffic, gas prices and more. Other introductions at CES included the Approach G5 and zūmo 660. The Approach G5 represents Garmin’s first touch screen handheld designed specifically for the golf course. By combining our organ form factor with thousands of preloaded course maps, we expect to gain significant market share in this growing business. The Approach G5 is differentiated by the touch screen, the number of preloaded courses available without subscription or fee, and the ability to plan shots using a drop and drag approach on the touch screen. The zūmo 660 is a new motorcycle device that integrates the nuvi form factor with motorcycle specific features, including oversized touch screen buttons and water proof casing. In addition, the zūmo 660 features advanced routing capabilities, lane assist with junction view and 3-D buildings. In the aviation market, we began delivery of the GPS maps 695 and 696 during the fourth quarter. These devices represent Garmin’s newest portable offerings and builds off of the popular 496. New features and capabilities include a seven inch screen, airways, electronic charts and expanded weather. While only available in the last half of the fourth quarter, the 695 and 696 have already proven to be popular. In the marine market, we introduced the GPS maps 600 series and GHP 10 Autopilot. The GPS map 640 specifically is preloaded with City Navigator and BlueChart g2 marine charts making it all in one marine navigator and automotive navigator. The device can also be paired with the GXM 40 antenna making it XM capable for weather, radio and traffic. The GHP 10 Autopilot was released in October to great reviews. It incorporates our patented ShadowDrive technology which automatically disengages the autopilot at the helm stern allowing for quick manual maneuvers without manually disengaging the autopilot. It is also able to be controlled wirelessly with the GHP 10 remote control. With regard to the nuvifone, we continue to look forward to the launch of the Garmin-Asus G60 in the next few months as we discussed during our February 4 announcement regarding our strategic alliance with Asus. In addition, we introduced a second device in the nuvifone family at the Mobile World Congress recently. The Garmin-Asus M20 will utilize Windows Mobile and will be released in the first half of 2009. We will provide further updates on carriers and pricing as launch date approaches. At this time I would like to turn the call over to Kevin who will provide a more detailed look at our fourth quarter and 2008 results.
Kevin Rauckman: Thanks, Clif. Again I would like to typically go through Q4 and full year and we will talk a little about 2009 at the end of this section of the call. You saw the press release this morning that we announced revenue of 1.05 billion during the quarter, net income of 158 million and earnings per share result of $0.93 per share excluding foreign currency. Revenue was negatively impacted by approximately 38 million due to continued weakness of the euro and other foreign currencies. So our overall revenue decline was 14% and our EPS came 29% excluding FX. We also announced that our effective tax rate was 22.8% during the quarter compared to 11.7% in the fourth quarter of 2007 resulting in a negative EPS in fact of $0.11 a share. Unfavorable $0.15 EPS impact was due to the foreign currency losses of 40 million during the fourth quarter of 2008. Our gross margin of 41.1% was better than expected due to material cost reductions and operating efficiencies in the business. Operating income was down 25% to 236 million compared to the fourth quarter of 2007. We announced 22.6% operating margin which was down from 25.7% last year. Overall, our operating margins were generated from the gross margin of 70 basis points unfavorable, our advertising expense was 100 basis points favorable. Other SG&A was unfavorable by 250 basis points, this was made up primarily of the increase year over year of the integration of our European distributors that were acquired, 7 million due to increases in our Germany and Italy subsidiaries, and we also announced a $14 million Circuit City write off due to their bankruptcy. R&D was unfavorable 90 basis points during the quarter. Overall in the fourth quarter, units shipped grew 15% as almost 6.4 million units were delivered on the strength of our automobile segment. The total company average selling price was $165 per unit down 27% from the third quarter and 25% from the fourth quarter of 2007. Moving next to the full year income statement, our revenue reported was $3.5 billion, net income of 733 million and earnings per share of $3.69 per share excluding FX. So we recognized a 10% top line growth during the year and a 3% earnings per share decrease excluding foreign currency. For the full year, our effective tax rate was 19.9% which compares to 12.6% a year ago resulting in a negative EPS impact of $0.31 per share. We also saw an unfavorable $0.21 EPS impact due to foreign currency loss of 35.3 million during 2008. For the full year, gross margin of 44.5 was better than expected due to moderation of ASP declines, material cost reductions and overall operating efficiencies. Therefore our operating income fell 5% to 862 million compared to 907 million in 2007. Operating margin was 24.7% down from 28.5 a year ago but better than expected. Gross margin was unfavorable 150 basis points, advertising was favorable for the full year at 50 basis points, and other SG&A was unfavorable by 190 basis points. Approximately 46 million of our SG&A was due to the integration of the European distributors and year over year increase in bad debt in total was about $20 million. R&D was unfavorable for the full year of 90 basis points. Units shipped grew 38% year over year as over 16.9 million units were delivered during the year on the strength again of automobile segment. Total company average selling price for 2008 was $206 per unit down 20% from 2007. The non-GAAP measures that we reported this morning include net income excluding effect of foreign currency. The full-year FX loss does not reflect the gain associated with the tender of our TA shares. This FX impact was $0.15 per share unfavorable during the fourth quarter and $0.21 per share unfavorable for fiscal 2008. Breaking down our revenue by segments, during the fourth quarter, we experienced a 17% revenue decline within the automobile segment while the unit growth in that segment was a positive 18%. Or outdoor fitness segment continued to grow with a 5% revenue increase when compared to the fourth quarter of 2007. Our fitness category continued to lead the way in that overall segment. Aviation segment revenues fell 5% compared to the fourth quarter of 2007, marine segment revenues were flat compared to last year's fourth quarter. In total, our revenues declined 14% during the fourth quarter. For 2008, the automobile segment revenue grew 8% while the unit growth in that segment was 45%. Our outdoor fitness segment outpaced growth in all other segments with a 26% revenue increase compared to 2007. The aviation segment revenues increased 10% and our marine business was up 1% compared to 2007. Overall our revenues increased 10% in 2008 and we were pleased with our ability to post growth in every segment within our business. During the fourth quarter, all geographies slowed on a year-over-year basis due to the impact of the worldwide economic slowdown. On a full-year basis, we were able to post growth in all geographies with North America growing most rapidly at 13%. Unit growth in our North American business exceeded that of Europe as the North American PND market grew at 62% for the full year on a unit basis and Europe at 16% for the full-year. The automobile segment represented 79% of our total business during the fourth quarter and 73% for the full year. This is down one percentage point from 2007 where audible represented 74% of our revenues. In sense of the stronger growth in North America during the quarter, that geographic region represented 73% of our total fourth-quarter business. Europe accounted for 24% of our total revenue. And on our full year, North America accounted for 67% of our revenues. The low-end unit sales of PND accounted for a couple approximately 85% of total units and the low-end revenues of PND accounted for approximately 80% of total revenues. Moving next to margins, our fourth-quarter automobile gross margin and operating margin were 36% and 20% respectively. The gross margin of 36% was better than expected with a full-year ASP decline of 26% offset by costs declining 21% on a full-year level. Our fourth-quarter outdoor fitness gross margin was 56%, up 3% over last year due to product mix and an increase in ASP. Gross margin did decline on a sequential basis due to promotional pricing during the holiday season. Operating margin also increased year over year to 37%. We continue to target our long-term margins in the outdoor fitness segment of 55% and 35% respectively. Fourth-quarter aviation gross margin was 67% down slightly from the prior year but up s sequentially due to product mix. Operating margin was 33% for the quarter due to increased advertising costs on lower volumes. We continue to target long-term margins in the segment of 65% and 35% and did achieve this for the full-year with growth in operating margin at 67% and 36% respectively. And finally our fourth-quarter marine gross margin was below the long-term target of 55% and 52% due to the continued weakness in the industry. In turn, operating margin was also low at 23% compared to a long-term target of 35%. These margins are consistent with the fourth quarter of 2007 due to seasonality in the segment. Full-year margins for marine were 55% and 29% respectively. We will manage the businesses to maintain margins near our long-term target of 55% and 35% going forward. Fourth-quarter operating expenses were down slightly on a year-over-year basis from 196 million in the fourth quarter of 2007 to 194 million in the fourth quarter of 2008 but they did increase 240 bps as a percentage of sales. R&D increased 2.7 million year over year in dollar terms and was up 90 basis points to 4.8% of sales. We continue to employ over 1700 engineers and engineering associates worldwide. Our ad spending decreased 21 million over the year ago quarter and 100 basis points as a percentage of sales from 6.8% to 5.8% in the fourth quarter. We were pleased with our decision relative to advertising spending and the benefit it provided to operating margins during the period. Other SG&A increased 250 basis points to 7.9% of sales from 5.4% a year ago. This increase was due to the write off of our Circuit City receivables and the integration of our European distributor that we acquired since this period last year. We expect that our SG&A expenses will stabilize at approximately 70 million per quarter in 2009. Moving next to the balance sheet, we ended the quarter with cash and marketable securities at just over 973 million. Our accounts receivables increased on a sequential basis to 741 million as sales increased during the holiday quarter. AR accounted for approximately 77 days of sales. We have now collected 530 million that is balance during the first quarter of 2009. Our inventory balances decreased 274 million to 425 million as we exited the holiday selling season. Our days of inventory metric decreased from 105 days at the end of the third quarter to 79 days at the end of the fourth-quarter, primarily in our finished goods inventory. At the end of the fourth-quarter at the end of 2008, we have 151 million in raw materials which make up 27 days of inventory, 29 million in WIP and assemblies making up 5 days of inventory, and 269 million in our finished goods, which represents 47 days of inventory. We carried 23 million in inventory reserves at the end of 2008. We are extremely pleased with our level of inventory reduction and will continue to manage the supply chain appropriately given the economic conditions. It's our goal to have adequate inventory to support customer needs; however, we intend to carry the right level and mix of inventory to minimize the risk of obsolesce. Retail channel inventory has become more lean as retailers look to reduce their inventory exposure and conserve their cash during this economy. Looking next at cash flow, cash flow from operations during the fourth quarter was 350 million. We spent only 9 million on CapEx during the fourth quarter and our free cash flow during Q4 was approximately 340 million. Cash flow from investing was 31 million source of cash made up of 9 million use of cash on CapEx, 50 million net redemption of marketable securities and approximately 10 million use of cash on the acquisition of businesses and intangibles. Finally, the cash flow from financing was 194 million use of cash during the fourth quarter made up primarily of the 150 million dividend payment during December, a $47 million of stock buyback, and 3 million positive cash issuance of stock options. We earned an average of 3.9% on all cash and marketable securities balances during the quarter. Garmin repurchased over 2.4 million shares using $47 million of cash during the quarter. We repurchased 17.1 million shares during the year using approximately $672 million. Current authorization allows for 258 million to be used to repurchase shares through December 31, 2009, and Garmin intends to be an active buyer of those shares as business and market conditions warrant. Our diluted shares outstanding declined 9% to 202 million due to the shares repurchased during the year. And finally let me spend a little bit of time on 2009. We do recognize that 2009 is going to be a difficult year and we are prepared to manage our business accordingly. While economic conditions are very challenging and are affecting most of our markets, we continue to see opportunities to invest selectively and grow our business through new product development and market share gains. Our goal is to maintain healthy margins and a strong balance sheet during the year. In addition, we will continue to manage our inventory carefully in order to scale it to the proper level to support our business in light of these challenging economic conditions. We continue to closely monitor the global economic development and our business situation. And we are evaluating making adjustments in certain areas of business in order to increase cost efficiency and match operations to market demand over the near to intermediate term. In light of the uncertainties and dynamic conditions, we will not offer specific guidance for 2009 until the outlook for the year becomes more clear. That concludes our formal remarks for this morning. We now like to open the phone lines up for any questions you might have. Jacob, please take over the Q&A session from here on now.
Operator: (Operator instructions)
Kerri Thurston: And Jacob, you can go ahead with our first question.
Operator: Thank you. Our first question comes from Reik Read.
Reik Read – Robert W. Baird & Co., Inc.: Hi, good morning.
Kevin Rauckman: Good morning.
Reik Read – Robert W. Baird & Co., Inc.: Kevin, on the targets that you gave for gross margin by segments, can you just talk about, one, how much variability that you see in those targets in the current environment? And then two, what is your ability to take out costs further? You guys talked a lot about raw material costs take out, can that continue and other, some other things that you can do from a labor overhead perspective? Thanks.
Kevin Rauckman: Okay. Variability, I think you can see from our slides on margins, we do have some variability based on volume in the non-PND market and non PND segments. Actually automobile segment has been relatively stable in the 36%, 38% gross margin, 20% to 25% operating margin, and we have stated this many times that the raw materials do make-up of a vast majority of our total unit cost. So the expectation in 2009 for example is that prices will moderate, the cost declines depending on sales volumes, which again we are not giving a lot of guidance on, but depending on sales volumes, the labor and overhead components are relatively small and therefore we can try to track costs, unit costs approximately with what our price declines would be for the year. So we are hopeful that there is not a lot of variability, but we do see quarter to quarter some, especially in the non-PND markets.
Reik Read – Robert W. Baird & Co., Inc.: And just on what you're saying on the raw material side of things, I take it what you're saying there is just you can continue to get price concessions, is that still the case in this environment?
Kevin Rauckman: I think we're seeing some cost declines even in today's economy. We had a 21% overall unit cost decline last year. I wouldn't expect that number to be that large in 2009 but I think the best way to frame that is price and cost coming down near the same levels in 2009.
Reik Read – Robert W. Baird & Co., Inc.: Okay. Thank you.
Operator: Thank you. Our next question comes from Vivek Arya.
Vivek Arya – BAS-ML: Thanks, good morning. Couple of questions, first is, I just wanted to dig deeper into this gross margin trend, your non-PND segments, last year I think were about 27% of sales, but almost 37% of the gross margin dollars and in 2009 there is going to be some pressure on the non-PND segments, so what should we read across on the overall company gross margin from that trend?
Kevin Rauckman: I think what you saw in the fourth quarter is something we would like to continue that is manage and scale our business to be able to manage the different demands as we go forward in 2009. I think we took action in the fourth quarter by eliminating contract and contract labor in our factory and it helped us maintain pretty strong margins in the fourth quarter. And I think what we still see even in a fairly weak economy in the non-PND markets, is margins we can still sustain. And those are not as price sensitive and we feel like we have the ability to control that.
Vivek Arya – BAS-ML: I see. And Kevin secondly, the ASP on the PNDs from what I calculate fell roughly 29% or so in the fourth quarter, what is your expectation for PND ASP in 2009, is it more a mix issue, is it more a volume issue or what exactly is determining that negative surprise that we saw in the fourth quarter PND ASP?
Kevin Rauckman: First of all, I would disagree that we saw a negative surprise. I think that ASP came in about where we expected, otherwise our margins would have been significantly impacted in the fourth quarter. I think overall price declines in 2009 will slow in terms of the overall declines that we have seen in the last two years. We are not quantifying how much that will be other than I would expect it would be below 20% without giving an exact number.
Vivek Arya – BAS-ML: Okay. Is there any excess manufacturing capacity that could have an impact on gross margins next year, I mean in 2009?
Kevin Rauckman: I think that is what our goals is, is to try to manage that. It depends on the level of sales and so we will provide guidance and more as we go through the year. But at this point we feel like we can scale up and down depending on the need of the market. Keep in mind that a vast majority of our overall unit cost is raw material. So there may be some short-term impacts but overall I think we can manage that manufacturing capacity throughout the year.
Vivek Arya – BAS-ML: And just one last question, your advertising spend has been trending lower, do you think you're spending enough on to promote the products and how will this spend pick up or will it pick up once you launch your smart phones?
Kevin Rauckman: Well I think in the fourth quarter we saw that the overall economy was impacting and we didn't feel like it was prudent to spend a typical level on advertising. So as we said in our formal remarks, we felt comfortable and satisfied with the decision that we made in the fourth quarter given the fact that we did see advertising down as a percentage of sales. We still had sensible reasonable sales levels. I think you mention the nuvifone. Without a doubt, the phone in the product family gets delivered to the market, we will have to take on some additional advertising spend to be able to push that and to promote that in the market. But we haven't commented on how much that will be yet.
Vivek Arya – BAS-ML: I'm sorry. Just one last question. The tax rate, what should we model for 2009? Thanks.
Kevin Rauckman: I think the reason the tax rate came up was because of our overall volumes coming down from the fourth quarter over what we [inaudible]. I think the effective tax rate is nearly 20% for the full year due to the tax holidays in Taiwan and other tax incentives. I think over the next few years, this 2009, we expect to continue to see benefits from those holidays and expect our overall tax rate to increase a little bit above 20% over the near term.
Vivek Arya – BAS-ML: I see. All right, thank you.
Kevin Rauckman: Thank you.
Operator: Thank you. Our next question or comment comes from Paul Coster.
Paul Coster – JPMorgan: Real quick housekeeping questions first, the interest rate you are earning on your cash is pretty impressive, do you think that is sustainable? And the nuvifone, how will that be categorized in terms of which revenue segments it will go into?
Kevin Rauckman: The first question on the interest rate, yes, 3.9% was higher than we had even intended or expected because of the timing of our marketable securities. Clearly those will mature over the next year and we will see that rate come down. So I don't believe 3.9% is sustainable. However, we have done pretty well at I think beating the market average on yield on our investments. So I’d expect 3.9 to come down but still be healthy for the full year 2009. And then your comment about nuvifone, I think we would book that into our automobile segment.
Paul Coster – JPMorgan: Okay. And maybe I can just drill down on the expectations for 2009, did I understand you correctly in saying that the unit pricing or the ASP decline will moderate, did you say anything about unit volumes for 2009?
Kevin Rauckman: We didn’t comment a lot on it. We expect that the PND markets and what Garmin can ship will be roughly flat, that’s our best estimate at this point. And then we didn't give an exact number, but ASPs will moderate.
Paul Coster – JPMorgan: Okay. I mean if you look out a little bit longer, once we're through this economic downturn, what do you think your sort of CAGR is over the next five years in terms of unit volume anyway?
Kevin Rauckman: I think it is difficult for us to give 2009 guidance and even more difficult to give 2010, 2011, 2012. I'm not sure we can really give anything concrete at this point.
Paul Coster – JPMorgan: Well, I will try my luck. And then finally, now competition seems to be wobbling a little bit, but one area which I'm a little concerned about is the second hand and refurbished market, what extent is that a challenge for you and what do you do about it if it is?
Clifton Pemble: Definitely there's a big market out there for second-hand and refurbished. We participate in that as well as we get returns from customers and we refurbish them and put them back out on the market. It does tend to make the ASPs come down but on the other hand it also costs with the return processing. So that’s kind of unavoidable and the way a lot of these consumer markets work.
Paul Coster – JPMorgan: Okay, thank you.
Clifton Pemble: Thank you.
Operator: Thank you. Our next question comes from Tavis McCourt.
Tavis McCourt – Morgan Keegan: Thanks for taking my question guys. Clif, one for you, and then a couple of financial ones. I guess the one new market that you are entering this year would be kind of the golf market and I was wondering if you could tell us what your estimate is of that market size, whether it is units or revenues. Obviously it seems like a pretty impressive market, impressive product from a competitive standpoint. And then Kevin I think you mentioned in your prepared remarks that you would expect SG&A to kind of based out at around 70 million a quarter, did I hear you right and does that include or exclude advertising? And then my last question is in terms of accounting for Garmin-Asus, will you be booking the full revenues from that or does half the revenues – or exactly how will the accounting work for that given the nature of the partnership?
Clifton Pemble: Tavis, to get the question out of the way on the golf market, I think it is definitely a small market at this point, very niched, and I don't think there is any public qualified or credible estimates in the industry in terms of what the total size is. We are entering the market because we believe we have something to contribute on the location technology and the mapping side but it is somewhat of a small niche market and don’t really have the ability to give you the estimate of the size.
Kevin Rauckman: Tavis, concerning the SG&A, I did mention 70 million per quarter, and that excludes advertising. So we would like to be able to hold the line on SG&A as we go through the year. Advertising will likely come down in total dollars invested in the year but we will have to also how the year develops as we go through. And then finally you ask about Garmin-Asus revenues, we haven't given a lot of detail other than just to say that it’s a strategic partnership and we will share profits on that, on that business, but we really can't comment on how much is booked on our P&L versus Asus’ P&L at this point.
Tavis McCourt – Morgan Keegan: And then can you just remind us what the full-year advertising was this year, what the dollar as a percentage of sales?
Kevin Rauckman: In 2008 we spent 208 million on advertising, which was approximately 6.0% of sales.
Tavis McCourt – Morgan Keegan: Okay, thanks a lot.
Kevin Rauckman: Thanks.
Operator: Thank you so much. Our next question comes from Jeff Rath.
Jeff Rath – Canaccord Adams: Great, thanks. A couple of questions, Kevin, you made a comment about the automotive segment being overall flat, I mean no one knows but you are kind of suggesting your expectations would be for flat unit volume growth in 2009 versus 2008, what comfort do have that in fact you will see flat growth in this environment?
Kevin Rauckman: I think this it is a difficult number to know because we are treading in an environment we have really never been in. But the way we come up with that is, we talked to our major customers to see what their expectations are. We also looked at the geographic mix and we talked to each of the countries to see what is developing in each of those stuffs [ph] and come up with our best estimate. So we don't have I think clear visibility which is the reason why we're not giving 2009 guidance, but that is as good as we can do today.
Jeff Rath – Canaccord Adams: I guess maybe different way to ask the question is, are there some areas of the world that you're entering that are expected to have more meaningful growth rates because they are less penetrated, is there anything more speaking about there?
Clifton Pemble: I think Eastern Europe is still under penetrated and so it has been an area of growth although I would say that they are affected by the economic situation now as much as anybody, so that is an area of focus. Latin America, South America is definitely areas of potential growth as well as Asia. The US market is still very much under penetrated compared to some markets in Europe, so we believe there are still growth opportunities here in North America.
Kevin Rauckman: Even in a pretty weak economy, we saw 33% unit growth in the fourth quarter in the US. And I think I’ll add to another comment that Clif made is probably Australia. Australia is still an area we would like to be able to push further into and gain some share.
Jeff Rath – Canaccord Adams: Second question is following your inventory success here, you have taken inventory levels down pretty dramatically, Kevin, you offered a little bit of color around your thoughts on the channel right now, are you saying that you are comfortable with the channel inventories here, do you expect a little bit more, say, seasonal weakness in Q1 because maybe there’s still some excess channel inventory, can you speak to that a little bit?
Kevin Rauckman: Sure. I think what we saw in the December month is we did see – we saw the major retailers slow down their orders. They wanted to go out of the calendar year with less inventory and I think it continued that desire through the first part of the 2009. So I would definitely with giving any specifics I would expect that year over year we would not see growth in the first quarter just due to what we have seen with the retail market in the first six weeks of 2009. I think they are carrying very low levels of inventory and we're just now starting to see some pretty large orders coming out of those retailers.
Jeff Rath – Canaccord Adams: And then just a final question from me and I will pass it along, Kevin, there is lots of moving parts as it relates to foreign exchange, if we were just to take the baseline assumption that in the PND segment, your overall ASPs were flat, that is the pricing that you would get, what would be the impact of the foreign exchange on I guess your net ASPs 2009 versus 2008, if you look at current spot rates right now, would that cause your ASPs to be down 5% or 10%?
Kevin Rauckman: Yes, we would still expect an ASP decline even with FX being neutral.
Jeff Rath – Canaccord Adams: Would you say that a 5% or 10% kind of range reasonable?
Kevin Rauckman: I think that is a reasonable expectation, yes.
Jeff Rath – Canaccord Adams: Thank you very much.
Operator: Thank you. Our next question comes from Yair Reiner.
Yair Reiner – Oppenheimer & Co.: Yes, a couple of questions from me, first of all, do you have any target at this point in terms of CapEx for next year?
Kevin Rauckman: I think 2009 is going to be – we spent 120 million in 2008, and we think it is going to be pretty close to what we would call our maintenance level, which is going to be around 60 million of CapEx.
Yair Reiner – Oppenheimer & Co.: Okay. And also I guess a rephrase face of the prior question, I guess we're close to 2/3 of the way through 1Q, I realize you don’t want to give specific guidance, but can you just gives us little bit more color on what you have seen thus far?
Kevin Rauckman: I'm not sure I can give much more color other than what I just mentioned with the big box retailers in the US. I think definitely Q1 will be down year over year from what it was in Q1 of 2008 and that’s about as much detail we are willing to give at this point.
Yair Reiner – Oppenheimer & Co.: Okay. As far as aviation, it has been quite volatile now quarter to quarter. Recognizing that the end market there is slowing pretty dramatically, I mean is the level that we saw in 4Q, should we think of that as a baseline level, right now based on orders that you are seeing from your customers, I'm what do you think we should look for in 2009?
Clifton Pemble: Yes. I think aviation has a much longer market cycle than some of the consumer markets. So I believe it is still reacting to the economic conditions and the full story on the order situation and the deliveries are probably still to play out during the year. So there could be some additional downward pressure from what we saw in Q4.
Yair Reiner – Oppenheimer & Co.: And then finally on nuvifone, it sounds from the wording of the press release now that you're pretty certain about the first half release, are there deals that are effectively signed and now it is just a matter of announcing them, or are you still working out the final details?
Clifton Pemble: I think we're still working out some final details.
Yair Reiner – Oppenheimer & Co.: Okay. And is there any way for us at this point to kind of size the opportunity for you in 2009, would you be able to venture on how big a part of your automotive business it might be this year?
Kevin Rauckman: I think we still view 2009 as the period that we get into the market. From a quality perspective we still view that the PND part of our automotive segment is by far the largest in 2009, and we're talking about from a revenue perspective probably 100 million to 200 million in that range is the most we would see in 2009.
Yair Reiner – Oppenheimer & Co.: Okay. Thank you very much.
Kevin Rauckman: Thank you.
Operator: Thank you. Our next question comes from Jeff Evanson.
Jeff Evanson – Dougherty & Company LLC: Good afternoon on good morning everybody. I guess if your PND unit assumption is for flat units year over year, I'm curious what kind of market share gains you think you would need to do to achieve that and if you could unpack that between say Europe and North America, that would help?
Kevin Rauckman: Well, we are not prepared to give market share expectations. I think it’s still a little bit early to even know what happened in 2008 until all the competitors come in with their results. We do believe that in the fourth quarter we did gain global share from the best estimates that we’ve even come up with. Market share gains in 2009, a lot of it depends on the economy obviously in the US. We still feel like we have a very strong position, 50% or greater in North America, and we're hoping that it will continue. I think if there is gains anywhere, it will be in some of these other areas that Clif talked about in Eastern Europe and Latin America and even Australia and then we should be able to sustain our share in the US. I don't expect that Europe will be a big market share gain for us in 2009.
Jeff Evanson – Dougherty & Company LLC: Like it was in 2008?
Kevin Rauckman: Yes, there was quite a bit of gain there in 2008.
Jeff Evanson – Dougherty & Company LLC: Okay. And then if your assumptions about units prove incorrect and you need to scale down production capacity, at what point would that start to negatively impact your tax rate?
Kevin Rauckman: Well, I talked about tax rate earlier probably having to raise it above 20% and factoring into that was an expectation of unit volumes and overall volumes. I think we are probably pretty close to that at this point at that level depending on how 2009 shapes out. I would not expect the tax rate to get below 20 in 2009.
Jeff Evanson – Dougherty & Company LLC: I guess what I'm saying is if you had to scale down units by 10%, will that start to impact your tax rate above and beyond what you have already said?
Kevin Rauckman: Yes.
Jeff Evanson – Dougherty & Company LLC: To what extent Kevin? Any sense?
Kevin Rauckman: Well I think between 20% and 25% range, somewhere in there. I hope that it doesn’t get past 25, but I think the effective rate for the company should be for year in that range.
Jeff Evanson – Dougherty & Company LLC: Okay, great. Thank you very much.
Kevin Rauckman: Thank you.
Operator: Thank you. Our next question comes from Jonathan Goldberg.
Jonathan Goldberg – Deutsche Bank North America: Hi. Thanks for taking my call. I just wanted to dig down a little bit into your thoughts on industry channel inventory, you sounded upbeat, R-Tek [ph] seem to indicate that there is a lot of your competitors products still on the shelves at most electronics retailers and general merchandise retailers, both in USA and Europe. Do you see that affecting you? If there is lots of products out there, aren’t they going to end up cutting prices and that’s going to hurt the whole category?
Clifton Pemble: I think it is somewhat obvious that there is in fact and you can't argue that there is not. I think the good news right now is that our product is selling well against the lower price products and we just had to watch the situation play out as they try to move the inventory.
Jonathan Goldberg – Deutsche Bank North America: So it sounds like it is on your radar but you are comfortable you're getting big box orders right now?
Clifton Pemble: Pardon, I'm sorry.
Jonathan Goldberg – Deutsche Bank North America: It sounds like it is on your radar an issue that could pop up but you are comfortable that you are getting orders now from the big box retailers?
Clifton Pemble: Yes, we're starting to see those.
Jonathan Goldberg – Deutsche Bank North America: Okay. And then I just want to clarify also on the nuvifone, is it currently in carrier certification in testing? Or are we still…
Clifton Pemble: We're in some of the final phases of pre-entry.
Jonathan Goldberg – Deutsche Bank North America: Got it. Thank you very much.
Clifton Pemble: Thank you.
Operator: Thank you. Our next question comes from Mark Sue.
Joe Spack – RBC Capital Markets (US): Hi guys. This is Joe Spack [ph] for Mark actually. Couple of questions, one on inventory again, sorry to keep coming back to it, can you give us some sense of the metrics that you are comfortable with going forward? I know you talked days basis or turns basis would be fine as well. And just as a follow-up to that, any sense – I mean historically you guys have used a lot of working capital on an annual basis, can you give us any sort of sense of working capital expectations for 2009?
Kevin Rauckman: Well, I think what we have often committed on inventory number of days and I said we ended the year at about 79 days which was better than what we had targeted going into the quarter. We thought we would see an absolute dollar reduction of about 115, we would beat that by quite a bit, 274 million reduction. So the overall answer for looking at days of inventory based on forward-looking demand. And I think the numbers that we want to keep it under is 90 days or below, and so we are still trying to be more patient in our supply chain, and I guess we have done pretty good job in the short term. As far as working capital goes, I think given the difficult economic environment, we're really watching the receivables quite a bit trying to manage cash as best as we can and also limit write-offs on the AR side. So the combination of AR and inventory are the two major metrics that we are watching internally. I can't comment on the exact numbers but we do expect that our free cash flow and our cash flow from operations will continue to be quite strong as we go through 2009.
Joe Spack – RBC Capital Markets (US): Okay. And just one more if I can, Kevin, I thought I believe you said on the nuvifone expectations, 100 million to 200 million revenue net, by that do you mean your portion of sales, can you just clarify that comment?
Kevin Rauckman: Yes, that would be what we would recognize, yes.
Joe Spack – RBC Capital Markets (US): Okay, thanks.
Kevin Rauckman: Thank you.
Operator: Thank you. Our next question comes from Amir Rozwadowski.
Amir Rozwadowski – Barclays Capital: Thank you very much for taking my question, gentlemen. Kevin and Cliff, looking at 2009, I know you have discussed a bit about the competitive environment, how should we think about sort of your strategy plays out for the course of the year? Is it sort of you continue to operate sort of managing the business the best you can against the difficult background and just see what happens with the competitors and how things play out or is there opportunities where you can selectively adjust your strategy in order to help accelerate some of the competitors leaving the market place?
Kevin Rauckman: Yes, I think we're certainly not wanting to be taking a risk in order to try to force situations at competitors at all, that is not our goal. We want to maintain a profitable business which we mentioned in our remarks and as such we are focusing on innovating and creating products that the market wants and maintaining our market share.
Amir Rozwadowski – Barclays Capital: Okay. And then one of the things that we have often discussed in the past is potential new geographic regions of opportunity and growth, do you think that 2009 can be – or are there specific regions that you folks are perhaps targeting for additional opportunities for market expansion in 2009?
Kevin Rauckman: Well, I think we already commented on the areas that we feel could be higher growth than the rest. As part of expansion, I don't believe we'll be acquiring any further distributors. I feel we're in a good position there on the distribution channel. I think it will be, given the global economy, it will be difficult to go out and push into certain areas of expansion. It would be more of a sustaining or maintaining the level of business and trying pick up share where we can.
Amir Rozwadowski – Barclays Capital: Great, thanks for the additional color.
Kevin Rauckman: Okay, thank you.
Operator: Thank you. Our next question or comment comes from Jim Duffy.
Jim Duffy – Thomas Weisel Partners: Thanks. Good morning.
Kevin Rauckman: Hi, Jim.
Jim Duffy – Thomas Weisel Partners: Hi, Clif. Question for you, as you have discussions with your major retailers, how do they plan to merchandise the nuvifone, or you would sell the phone themselves or alongside personal navigation devices, what would your preference be?
Clifton Pemble: I think retailers, they already know how to sell PND category very well. So you will see some interest on their part to merchandise with PND category. And my part, because it is a great phone, you will also see interest in the phone side as well. So there could be an expanding opportunity for a device like this within retail.
Jim Duffy – Thomas Weisel Partners: And can you maybe shed a little bit of light on marketing plans to help you break through the clutter of the smart phone market and highlight some of nuvifone’s unique attributes?
Clifton Pemble: I think when the time comes we do plan a campaign that we will be able to articulate the message of the connecting device with voice and data capability. And I think again because the PND category is a strong category, I think people are aware already of the benefits of location and as such I don't think we will have to do a lot of major re-education on what it does.
Jim Duffy – Thomas Weisel Partners: Okay. And then as you do your business planning, looking out with the introduction of the nuvifone, how do you think about the substitution effect to PND versus the nuvifone or perhaps some other smart phones that offers navigation?
Clifton Pemble: Well, you know we think we are approaching this from a different angle than everybody else. I think a lot of people look at navigation as an application on a device and it is one thing that it does amongst many things, but a lot of time it doesn't talk across applications in terms of the ability to share location and user information. So that is what we are doing with nuvifone's. It is different and while there definitely could be some substitution effect that goes on with mobile phones and PNDs, the usability case is pretty challenging if you start using it in the car, and we believe nuvifone addresses that quite well, and we also believe that customers will still want to have a dedicated device when they have enough use case scenarios that compel them to use the device more than just once in a while.
Jim Duffy – Thomas Weisel Partners: Okay. And what about substitution effect from Garmin personal navigation device to the nuvifone potential cannibalization there?
Clifton Pemble: Well, you could look at cannibalization or participating in a new market and so that is one of the reasons why we are doing this in order to be able to give the market what it wants in a single device.
Jim Duffy – Thomas Weisel Partners: Okay, thanks very much.
Clifton Pemble: Thank you.
Operator: Thank you. Our next question or comment comes from the line of Thomas Lee.
Thomas Lee – Goldman Sachs: Hi. Thanks for taking my call. I just had a question on ASPs again, and on some of our retail checks, we actually noticed significant mix shift toward lower end devices, even more so than what happened in 2007, to the point that Black Friday, we saw ASPs decline 40% year on year and it looks like that even accelerated in the month of January, but obviously you guys are saying that ASPs are going to moderate this year. Just curious, one, how confident are you that you won’t see ASP declines accelerate in 2009, and perhaps can you help maybe reconcile some of your comments versus maybe what we are seeing kind of on the retail side?
Kevin Rauckman: Well, I think the reason we participated strongly I guess in the Black Friday special as well and so nothing there really was out of the – outside our expectations, so we did see ASPs come down just not as strongly as it has in the past. I think the other area that gives you some comfort is the level of profitability and we have already seen several of our competitors exit the market because they are just not making money at the current pricing level. So when we look at 2009 competitive landscape, we don't believe that pricing will need to come down, nor do we expect it to come down as much as it has the last two years. And then the other aspect of that is we want to be able to add other features and push the consumer to buy us, so to speak, on some of our products.
Thomas Lee – Goldman Sachs: And then just as a follow on to that, I think you said mix low end versus I guess high-end was 80-20 if I am not mistaken, number one, and do you expect that kind of level, that level, that mix shift to be relatively constant throughout 2009? And then two, are you seeing even any change in pricing within that segment is basically – I guess how you define low end PNDs, are those ASPs coming down?
Kevin Rauckman: Actually what I said was 85% of a unit basis at the low end versus the high-end, and how we define that is set around prices really on our product line. So anything that is nuvi 5 series, 7, 8 and 9 series would be what we call the higher end, and then everything else would be the lower price or the low end, so 85% on the low end, and we don't expect that to really change much going forward. So the mix shift that we have seen over the last two years we believe is kind of behind us and should stabilize over the next year or two.
Thomas Lee – Goldman Sachs: Got it. And then just two other quick questions, I think I missed this, your long-term gross margins for PND, could you – on the automobile segment, did you provide that?
Kevin Rauckman: No, we did not.
Thomas Lee – Goldman Sachs: No, you did not. Do you have a number that you could share with us in terms of how we should think of…
Kevin Rauckman: Yes, we had 36% coming in an environment where prices were pretty low, so we're thinking 35%, 33% to 35% in that range is what we would like to see in 2009.
Thomas Lee – Goldman Sachs: Got it. And then lastly I guess on your dividend policy, is that, have you guys considered or thought about what your or how you're going to approach that in 2009? Is it likely to be the same as what it was last year? Or is that being discussed?
Kevin Rauckman: Typically we would make a recommendation based on the cash available, excess cash in our business. I think it is too premature to talk about whether we would pay dividend or how much we would pay. We will just keep an eye on the cash balances during the year. Clearly, we want to have enough cash not to get into a position like some of the rest in the market where they have to go out and debt finance their business, that is one thing we want to avoid is we want to stay debt free during a very difficult economy. So we will just – stay tuned on that, whether we pay dividend in 2009 or not.
Thomas Lee – Goldman Sachs: Great, thank you.
Operator: Thank you so much. And our next question comes from J. B. Groh.
J. B. Groh – D. A. Davidson & Co.: Good morning, guys. Thanks for taking my call. I had a question on aviation, I think you touched on a little bit, but the pretty dramatic drop off, Q3 to Q4, would you attribute that to just – is it seasonality, is at a later new product introduction that you mentioned in Q4, is it business jet or is it handheld, can you maybe explain that drop off, just to help us get a little bit better gauge as to what is going on there?
Clifton Pemble: There may be a combination of factors including some seasonality, but I think the primary reasons are consumers really slowed down during the fourth quarter and that included people in the high-end of the markets like aviation, retrofit markets were challenged, as well as portable markets, and so that is really I think the bulk of what we saw there in the fourth quarter for aviation.
J. B. Groh – D. A. Davidson & Co.: But in terms of, would you say that the business jet production or the higher-end OEM production that you are in, did that falloff in Q4 too as well then?
Clifton Pemble: Yes. It really depends on what segment of the market and what particular product line you're talking about. The light jets have been fairly strong, not a lot of movement there in terms of changes. The smaller lower cost aircraft have been affected somewhat by the economic conditions and as I mentioned earlier some of that will still play out in the coming year as order cycles are quite long in aviation.
J. B. Groh – D. A. Davidson & Co.: Great. Thanks for your time.
Clifton Pemble: Thanks J.B.
Operator: Our next question comes from John Bright.
John Bright – Avondale Partners LLC: Thank you. Good morning. Kevin, in your prepared remarks, you talked about evaluating, making some adjustments in certain areas to align your cost structure I think with market demand, is there something there that you could share with us that might be in the works?
Kevin Rauckman: Well I think it is a little bit too early to tell. We are watching market demand for both short-term and then throughout 2009, evaluating the level of confidence in the business, and it is too premature to talk about anything specifically. But it something we’re watching very carefully and we have put a budget in place in terms of number of people we have and the size of the business and we are carefully evaluating that week-to-week on how things shape out.
John Bright – Avondale Partners LLC: On the nuvifone side, in the current economic environment, had you changed your benchmark for success on the nuvifone? I think previously we talked about maybe a million units over a 12 month period, have you changed what you think would be success or your benchmark of success in a downward economic environment?
Kevin Rauckman: No. I think we still view that there will be a market available if we get the product out and into various channels and start to sell them. We think that the location based services that will be – I think the difference Clif already alluded to will be a key differentiator in that market. But we really don't have any changes on what we think would be successful, whether we would be successful or not in the market.
John Bright – Avondale Partners LLC: Thank you.
Kevin Rauckman: Thank you.
Operator: Thank you. Our next question comes from Ben Bollin.
Ben Bollin – Cleveland Research Company: Thank you. Good afternoon. Could you talk a little bit about what you see happening with your retail and channel partners as far as their strategy as they look at GPS and PND and shelf space and or total SKUs that they are allocating?
Kevin Rauckman: So far retailers are still showing a lot of commitment to this product category and we are going through research now for spring, and really quite encouraged in terms of the product placements as well as the amount of space that people are allocating there.
Ben Bollin – Cleveland Research Company: Could you talk a little bit also about which components are the most expensive in the bill of materials and which pieces contributed most of the cost savings in 2008?
Kevin Rauckman: I think there hasn’t been a lot of changes there. It continues to be the LCD or the displays, the flash and the GPS chips, those are the three major components. And then not necessarily hardware components, but the mapping data that we license from Maptech is another major component in our cost structure, but those have not nearly changed though I would say. Flash from a cost perspective has come down faster over the last year than some of the other components, but the bill of materials is essentially pretty stable over the last 12 months.
Ben Bollin – Cleveland Research Company: My last question, when you look at nuvifone, can you say how much total R&D spent on the platform and how many total SKUs you are targeting to launch in 2009?
Kevin Rauckman: I think we are approaching life to date or program to date nearly 20 million of R&D in that product line. And then the number of SKUs, we have announced few at this point, there will be other products that we will announce as we go through the year.
Ben Bollin – Cleveland Research Company: Thank you.
Operator: Thank you. And our final question comes from the line of James Faucette.
James Faucette – Pacific Crest Securities: Thanks very much. I just had a couple of follow-up questions. Firstly a question of clarification, when you say that you expect that your PND will be roughly flat in 2009, did you mean that you expect your revenues from that to be flat, so growth in units offsetting decline in ASPs or should we think about PND units actually being down year over year?
Kevin Rauckman: We meant PND units flat with some ASP decline inherent in the market.
James Faucette – Pacific Crest Securities: Okay, great. And then just a question on as best as you can on near-term development of demand particularly in the PND group but if you have more color on other spaces, that’s welcome as well, but just wondering from your perspective what you’ve seen from a sell through perspective so far in February versus maybe the way January ramped for you?
Kevin Rauckman: We have commented on that on earlier questions. I think we see that Q1 over Q1 year over year will be down and we have had a sell through of some of the inventory that majoring retailers were carrying, and we watch that very carefully on a week to week basis and we're starting to see some large orders now coming out of those big box retailers primarily in the North American market.
James Faucette – Pacific Crest Securities: Right. I guess I understood the year over year commentary but I'm just wondering like if you compare kind of how February would be running – has been running versus what you saw in the month of January, is that…
Kevin Rauckman: February is going to be a month – we can’t give a lot of details, we aren’t giving guidance [ph] but definitely February our sales was up from where January was. That is all I can communicate at this point.
James Faucette – Pacific Crest Securities: Okay, that’s great. That’s very helpful, thanks very much.
Operator: There are no further questions in queue.
Clifton Pemble: All right, thanks everyone, and we will catch everyone up later. Thanks for your interest and we will be talking later in the year. Thank you.